Operator: Good morning, ladies and gentlemen, and welcome to Lifetime Brands Second Quarter 2025 Earnings Conference Call. [Operator Instructions] I would now like to introduce your host for today's conference, [ Jamie Kirchen ]. [ Mr. Kirchen ], you may begin.
Unidentified Company Representative: Good morning, and thank you for joining Lifetime Brands Second Quarter 2025 Earnings Call. With us today from management are Rob Kay, Chief Executive Officer; and Larry Winoker, Chief Financial Officer. Before we begin the call, I'd like to remind you that our remarks this morning may contain forward-looking statements that relate to the future performance of the company, and these statements are intended to qualify for the safe harbor protection from liability established by the Private Securities Litigation Reform Act. Any such statements are not guarantees of future performance and factors that could influence our results are highlighted in our earnings release and other factors are contained in our filings with the Securities and Exchange Commission. Such statements are based upon information available to the company as of the date hereof and are subject to change for future developments. Except as required by law, the company does not undertake any obligation to update such statements. Our remarks this morning and in our earnings release also contain non-GAAP financial measures within the meaning of Regulation G promulgated by the Securities and Exchange Commission. Included in such release is a reconciliation of these non-GAAP financial measures with the comparable financial measures calculated in accordance with GAAP. With that introduction, I'd like to turn the call over to Rob Kay. Please go ahead, Rob.
Robert Bruce Kay: Thank you, and good morning. The second quarter presented a number of challenges, some anticipated and others that emerged quickly. I'll start by discussing how we have best mitigated the challenges, the impact on the second quarter. And before I turn the call over to Larry, I'll speak at a high level on our expectations for the third quarter. Despite the dynamic macro environment, we have and will remain focused on execution and positioning Lifetime to emerge stronger over the medium and long term. During our first quarter call, I walked through the proactive steps we've taken over the past 2 years to stay ahead of evolving U.S. trade policy. This includes shifting parts of our manufacturing footprint outside of China, acquiring and now expanding our facility in Mexico and diversifying sourcing across key geographies like Vietnam, Cambodia, India and other parts of Southeast Asia. Thanks to the proactive steps we have taken, we're well positioned to manage ongoing tariff-related uncertainty. That said, our second quarter results were not immune to near-term macro headwinds tied to the evolving trade environment. This was driven by meaningful swings in tariff rates across many geographies that caused a temporary stoppage of shipping until more clarity emerged. These changes led to unplanned shipment delays, particularly with key accounts in the e-commerce and club channels. That pressure was most acutely felt in our top line, which declined approximately $10 million year-over-year. We see this as mostly an unusual event as in response to the tariff environment, particularly the uncertainty and magnitude of Liberation Day and the 145% China tariffs imposed in April. Many of our customers and Lifetime halted shipments and delayed orders, which directly affected our second quarter performance. With the easing of these measures by the end of May, we have seen a normalization of shipment cadence by the beginning of the third quarter. Some of the shipments that were delayed during this period have been rescheduled for the second half of this year, while a portion will not resume until 2026. While we undoubtedly experienced headwinds in the club and e-commerce channels, we did benefit from strong gains in cutlery, kitchen measurement and continued growth in our international business, which helped offset some of the declines and underscores our strategically diversified platform. Speaking to the strength of our diversified platform, I want to take a moment to remind investors that we meet consumers where they shop across a wide range of channels. This intentional diversification helps ensure we're not overly reliant on any single outlet, which we view as a key strategic advantage. As part of our response, we acted quickly introducing targeted pricing adjustments, implementing structural cost reductions and moving forward with our previously outlined resourcing strategy. As we moved swiftly on the price increases, as mentioned previously, Lifetime put a temporary and additional pause on some shipments. We view this as a necessary tariff-mitigation technique, temporarily impacting shipments as we fully implemented these price increases. As of today, we have completed our intended targeting actions related to the current tariff environment. What's more important and what we are choosing to focus on is what we can control. Noteworthy, while we saw a decline in our top line in the second quarter, our EBITDA performance remained stable. Our adjusted EBITDA was consistent with the last quarter, underlying the strength in our core operations. This was aided by the actions I referred to a moment ago, including cost-efficiency actions, which amount to over $14 million on an annualized basis. Cash flow from operations exceeded $25 million year-to-date and liquidity remains strong with over $90 million on hand to support both near-term needs and longer-term strategic initiatives. We also continue to see traction where our investments are aligned with market opportunity. International markets, especially Europe, delivered another quarter of growth. Cutlery was supported by new product introductions and performed well with continued gains in market share and innovation remains central to our category approach. The response to Build-A-Board, for example, is a reminder of our ability to identify trends and bring compelling ideas to market at scale. Turning to some segment highlights. In addition to Build-A-Board, we continue to see growth in areas such as our Taylor division, particularly in kitchen and weather measurement; our Fred product line of unique gift and accessory items; and our international business, which had another quarter of growth driven by e-commerce and a continued push into national accounts. As I mentioned, on the supply chain front, we remain on track to have the capability to move 80% of production outside of China by year-end, with new partnerships and capacity ramping up in North America and throughout Southeast Asia. This is a fundamental repositioning of our sourcing footprint, not a short-term hedge. It enhances flexibility, improves cost efficiency and materially reduces exposure to tariff volatility. Turning to potential M&A activity. We've seen a meaningful pickup in unsolicited inbound interest, driven in part by financial pressure on many industry players. While it's still early, we are actively evaluating several highly attractive opportunities. We plan to share more here in the coming weeks as our diligence progresses. Looking ahead, while we remain cautious on the broader demand environment, we believe the second half will be stronger as pricing resets, shipments resume and our cost base reflects the full benefit of our early decisions. We continue to make strides in our international business, and we'll continue to report on our progress as we work through the second half of this year. In summary, this was a tough quarter, but not a surprising one and not one that changes our longer-term view. We have a solid foundation, a healthy balance sheet and a clear operational road map. We're confident in our ability to manage through this period and create long-term value for all stakeholders. As discussed above, we view the extreme conditions in the second quarter to be largely mitigated as of today. Based upon this environment, we see a notable portion of the revenue impact from our second quarter as not indicative of the rest of the year, which without additional macro-driven impacts should have a more normalized demand from our retail customers based on listings and market share. With that, I'll turn it over to Larry to walk through the financials.
Laurence Winoker: Thanks, Rob. As we reported this morning, net loss for the second quarter of 2025 was $39.7 million or $1.83 per diluted share as compared to $18.2 million loss or $0.85 per diluted share in the second quarter of 2024. The net loss for the current period includes noncash goodwill impairment charge of $33.2 million related to the U.S. segment. The net loss for the prior period included a noncash charge of $14.2 million due to the company's loss of significant influence in its equity investment in Grupo Vasconia. Adjusted net loss was $10.9 million for the second quarter or $0.50 per diluted share compared to $600,000 or $0.03 per diluted share in 2024. Loss from operations was $37.2 million in the second quarter as compared to income from operations of $1.2 million in the 2024 period. Loss from operations for the current period included a noncash goodwill impairment charge of $33.2 million related to the U.S. segment. As of June 30, 2025, company's goodwill balance has been reduced to zero, and therefore, we expect in the future a more consistent alignment between GAAP accounting earnings and non-GAAP adjusted earnings. Adjusted income from operations for the second quarter was $900,000 compared to $5.6 million in the 2024 period. Adjusted EBITDA for the trailing 12-month period ended June 30, 2025, was $50.7 million. Adjusted net loss, adjusted income from operations and adjusted EBITDA are non-GAAP financial measures, which are reconciled to our GAAP financial measures in the earnings release. Following comments for the second quarter -- are for the second quarter of 2025 and '24, unless stated otherwise. Consolidated sales declined by 6.9% to $131.9 million. U.S. segment sales decreased by 8.6% to $119.3 million. Sales were adversely affected by shipment delays, particularly due to the period in which the tariff on goods sourced from China was 145%, coupled with the Liberation Day announcements. Within the segment, the major product line decreases were in home solutions and tableware, partially offset by increases in kitchenware, driven by higher sales for cutlery and board products. International segment sales increased by 12.4% to $12.6 million. And excluding the impact of foreign exchange fluctuation, the increase was 6.6%, predominantly in the U.K. and Continental Europe. Overall, gross margin was consistent at 38.6% compared to 38.5%. U.S. segment gross margin increased to 39.1% from 38.7%. The improvement was driven by favorable product mix. The second quarter margin was not affected by tariffs. International gross margin decreased to 32.5% from 36.6% due to unfavorable customer and product mix. U.S. segment distribution expenses as a percentage of goods shipped from its warehouses were 11% versus 9.5%. The increase was due to lower shipment volume resulting in lower absorption of fixed expenses, also expenses related to the implementation for the new warehouse management system and an increase in freight-out expense. International segment distribution expenses as a percentage of goods shipped from its warehouses were 26.8% versus 25.1%. The increase is attributable to higher warehouse expense related to the expanded distribution in the Asia Pacific region. Selling, general and administrative expenses decreased by 2.1% to $37.5 million. U.S. segment expenses were even with last year. Increases in the provision for doubtful accounts and amortization related to a definite-life freight [indiscernible] was offset by lower employee expenses, including incentive compensation. International SG&A expenses was even with prior year. Unallocated corporate expenses declined due to lower incentive compensation and lower legal expenses. The income tax rate for the current period and prior period was 6.5% and 0.3%, respectively. In 2025, the rate differs from the federal statutory rate due to a partial valuation allowance on U.S. deferred tax assets due to the goodwill impairment charge. In 2024, the rate difference due to foreign losses for which no tax benefit is recognized and to the expiration of nonqualified stock options and equity- based awards where the book expense exceeded the tax deduction. Our balance sheet continues to be strong despite the challenges arising from high tariffs. At quarter end, our liquidity was approximately $97 million, which includes cash plus availability under our credit facility and receivable purchase agreement. Year- to-date, we have reduced net debt by $80 million and our adjusted EBITDA to net debt ratio as of June 30 was 3.5x, an improvement from the 3.6x in March. This concludes our prepared comments. Operator, please open the line for questions.
Operator: [Operator Instructions] The first question comes from Anthony Lebiedzinski of Sidoti & Company.
Anthony Chester Lebiedzinski: So Rob, you talked about taking up pricing in the quarter. Maybe if you could just give us some details as to give us a framework how to think about pricing versus unit volumes, how that was in the second quarter, that would be helpful.
Robert Bruce Kay: Sure, Anthony. In the quarter, we pass through price increases. And as you might imagine, you really -- while it may differ from what you're selling and customer account in the channel, you need to really uniformly do that across the whole board, right? Because you can't be selling your products in one place at a higher price and not at another. So you have to do it uniformly. So we worked on doing that and implemented it all as of today. But in terms of the effective dates of those price increases, no impact on the second quarter.
Anthony Chester Lebiedzinski: Okay. All right. And then can you give us an update on the Dolly Parton products at Dollar General? And I know, previously, you guys talked about putting in some additional brands through Dollar General. So it would be helpful to get an update on that.
Robert Bruce Kay: Sure, Anthony. One of the misses in the second quarter versus our expectations was Dollar General, where in April, when tariffs skyrocketed, things were -- shipments were put on hold and therefore, we didn't ship much to Dollar General in the second quarter. Everything that didn't ship will ship in 2025. The program continues to do extremely well and continues to expand versus last year. We are in discussions with launching additional brands at Dollar General, but we have not finalized anything as of today.
Anthony Chester Lebiedzinski: Got you. All right. And then your international segment, certainly was a nice positive in terms of the sales growth. Can you give us an update on -- and maybe, Larry already mentioned this, but as far as the operating income or loss in that segment, if you could tell us and also give us an update on Project Concord.
Robert Bruce Kay: Yes. In general, and we had to write off some inventory, which had a negative impact on international bottom line. Just as we've gotten through Concord, there was some excess that we wrote down, I should say, not. But we're still tracking a lot of what we've done in terms of cost takeout, not as easy to implement legally so in the U.K. as it is in the U.S. So a lot of the actual financial impact starts flowing through in the third quarter. So we're still on track for what we've been doing. The big impact is going to be in the second half of the year financially. And yes, we continue to monitor closely to make sure, as we've said in the past, that we hit those milestones.
Anthony Chester Lebiedzinski: Got you. Okay. And my last question before I pass it on to others. So your distribution expenses were up 7% from last year. I think, Larry, you mentioned a new warehouse management system and a new warehouse in APAC. So is that really the only reason? Or is there anything else unusual driving those dollar increases in terms of distribution costs? And how do we think about this cost item for the back half of the year?
Laurence Winoker: Yes. So the other factor is that we talked about the shipments that we delayed or canceled in the second quarter due to the tariff, that had a big impact on the warehouse club and our warehouse club business does not go through the warehouse. It goes direct from overseas suppliers. So when you look at sales relative to our warehouse expenses, that will be worse. But in absolute terms -- that's a percentage, but in absolute terms, it's the factors we mentioned. And there's some a little disruption because we are going through moving into a new warehouse and shutting down an existing one.
Robert Bruce Kay: Yes. And as we talked about, we expect to be some inefficiencies until we go live in our new warehouse, which will be in 2026, which we are completely on schedule.
Operator: The next question comes from Brian McNamara of Canaccord Genuity.
Brian Christopher McNamara: First off, can you reasonably quantify how much sales you might have left on the table by stopping shipments and other internal actions to kind of mitigate tariffs in Q2? And what impact, if any, lingers into Q3 in the back half?
Robert Bruce Kay: Yes. So some of the big things that shifted would be some of it shifted, some of it was delayed. There's about $30 million plus related to that. There is, in terms of carryover, the only carryover that will continue for the second half of the year is that there were delays in certain programs that will cause changes of ship dates. So we are still trying to solidify ship dates of some things, does it slip from -- if it slips from September to October, really ships this year. But if something may shipped from December to January, obviously, that would impact this year in favor of next year. But the bulk of the -- as we talked about, the bulk of the disruption that we saw in the second quarter is passed.
Brian Christopher McNamara: Okay. Fair enough. Secondly, why is, I guess, guidance so difficult to provide with the improved clarity on tariffs here? We've heard from many other companies, even those perhaps more exposed that have either reinstated guidance or at least updated prior outlooks.
Robert Bruce Kay: Yes. We've thought about it. We don't see clear visibility. I mean things change frequently, both -- and a lot of the impact of the pricing increases haven't really been felt by the consumer. We thought that visibility, at least right now, was rather poor, and we didn't want to resume with this much uncertainty. We will reevaluate that for next quarter, however.
Brian Christopher McNamara: On your point on pricing, when do you think pricing actually hits the shelves because I would actually agree with your standpoint across consumer for the most part.
Robert Bruce Kay: There was an article today, I was reading in a major national publication that was talking about Hyster trucks doing it soon. So that's their opinion. I agree with that. I also think that it wasn't uniform. So some stuff that you started to see immediately move was some of the bigger retailers direct import private label stuff because, right, they're paying that, they're passing that through quicker. Though I think many companies have absorbed a lot and delayed price increases, but that we've seen catching up. And we expect that to be hitting shelves in Q3.
Brian Christopher McNamara: And then what kind of elasticity are you guys expecting? And what products are kind of most price-sensitive?
Robert Bruce Kay: Well, traditionally, there hasn't been much impact of price increases on a lot of what we -- of what we sell, partly driven by the average selling price of what we sell is pretty low. So if you take a can opener and it's at $7 and now it's at $8. We've never in the -- I should say, in the past, we haven't seen an impact on volume related to that. Some bigger items like large dinnerware sets or tabletop would be most vulnerable on the consumer side. In the foodservice side, those same items are not very price-sensitive. The issue you could potentially see is in a down economic time when hotels, restaurants and the like stop a pace of capital investment, particularly new store openings or in a really bad economic environment, new store closings, that impacts their purchases of tabletop goods. But the pricing does not.
Operator: This concludes our question-and-answer session. I would like to turn it back over to Robert Kay for closing remarks.
Robert Bruce Kay: Thank you, and thank you, everyone, for tuning in for our call this quarter. We hope to keep people updated on a timely basis and look forward to speaking to people on the next call. In the interim, as always, Larry and I are available for anyone who wants to reach out. Thank you, and have a good day.
Operator: Thank you. This concludes today's conference. We thank you for your participation. You may now disconnect your lines at this time.